Operator: Greetings. Welcome to First American Financial Corporation's Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. A copy of today's press release is available on First American's website at investors.firstam.com. Please note this call is being recorded and will be available for replay from the company's investor website for a short time by dialing 877-660-6853 or 201-612-7415, and enter the conference ID 1375141214. We will now turn the call over to Craig J. Barberio, Vice President, Investor Relations, to make an introductory statement. Please go ahead.
Craig J. Barberio: Good morning, everyone, and welcome to First American Financial Corporation's fourth quarter and year-end 2024 earnings call. Joining us today on the call will be our Chief Executive Officer, Kenneth DeGiorgio, and Mark Seaton, Executive Vice President and Chief Financial Officer. Some of the statements made today may contain forward-looking statements that do not relate strictly to historical or current facts. These forward-looking statements speak only as of the date they are made, and the company does not undertake to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made. Risks and uncertainties exist that may cause results to differ materially from those set forth in these forward-looking statements. For more information on these risks and uncertainties, please refer to yesterday's earnings release and the risk factors discussed on our Form 10-K and subsequent SEC filings. Our presentation today also contains certain non-GAAP financial measures that we believe provide additional insight into the operational efficiency and performance of the company relative to earlier periods and relative to the company's competitors. For more details on these non-GAAP financial measures, including presentation with and reconciliation to the most directly comparable GAAP financials, please refer to yesterday's earnings release, which is available on our website at investors.firstam.com. I will now turn the call over to Kenneth DeGiorgio.
Kenneth DeGiorgio: Thank you, Craig. 2024 continued to be a challenging year for our industry, particularly in the residential purchase and refinance markets. Relatively low inventory, elevated home prices, and mortgage rates hovering around 7% have together produced a home sales market that is as low as we've seen since the mid-1990s. High mortgage rates have also kept refinance volumes at trough levels. Through this ongoing downturn in the market, we have maintained our commitment to invest in the business, making considerable progress with our strategic initiatives, while remaining focused on expense management with an emphasis on optimizing our information technology environment. Despite these generally challenging conditions, at the end of the year, we did, however, benefit from a surge in our commercial business and began realizing the full benefit of our strategic investment portfolio rebalancing project. In all, we delivered an adjusted pretax title margin of 10.3% for the year. In the fourth quarter, we delivered excellent results. Title premiums and escrow revenues were up double digits across all key business lines, highlighted by 47% growth in our commercial revenue. In our commercial business, we saw broad-based strength across all asset classes, with industrial and multifamily leading the way. Our investment income of $155 million in the title segment exceeded our expectations, and our success ratio was 51% this quarter on net operating revenue growth of 25%, reflecting our continued focus on expense management and the benefit of scale in our business. Our adjusted pretax title margin for the quarter was 11.8%. Our home warranty segment had a good quarter, posting revenue growth of 4% and an adjusted pretax margin of 18.2%. During the quarter, we continued to invest in our direct-to-consumer channel, which accounted for 42% of our contracts written in 2024, and which we expect will improve profitability as the lifetime value of these new policies is realized over time. Turning to the outlook for 2025, while we are planning for mortgage rates to remain elevated, we expect modest improvement in both the residential purchase and refinance businesses. Though still early, we are already seeing this in our results. For the four weeks ending February 7, our purchase orders were up 1% and our refinance orders were up 43% compared with the same period in the prior year. Our commercial business is off to a strong start, with revenues up 24% in January.
Mark Seaton: We expect our commercial business will have a good year with revenue growth weighted to the first half of the year, given the 33% increase experienced in the second half of last year. On the whole, 2025 will be another year of earnings improvement in what looks to be the early stages of the next real estate cycle. In closing, I would like to comment on the widespread damage and devastation from the recent wildfires in the Los Angeles area, which unfortunately directly impacted several of our people and customers. Our thoughts are with them and the many others who have suffered through this terrible event. Our company's roots in Southern California and the greater Los Angeles area date back over 135 years, so all of us at First American Financial Corporation feel a responsibility to help our colleagues, neighbors, friends, and families cope with this tragedy. Our company, along with many of our employees, have responded to that call. I want to thank our people for all they have done to provide support and relief to those affected. Now I'd like to turn the call over to Mark Seaton for a more detailed discussion of our financial results.
Mark Seaton: Thank you, Ken. This quarter, we generated GAAP earnings of $0.69 per diluted share. Our adjusted earnings, which exclude the impact of net investment losses and purchase-related amortization, were $1.35 per diluted share. Turning to our title segment, revenue was $1.6 billion, up 22% compared with the same quarter of 2023. Purchase revenue was up 18% during the quarter, driven by an 11% increase in closed orders, as well as a 5% improvement in the average revenue per order. Commercial revenue was $252 million, a 47% improvement over last year. Our closed orders increased 4% while our average revenue per order surged 39% due to broad-based strength across both asset class and transaction size. Refinance revenue climbed 75% relative to last year, due to a 68% improvement in closed orders. Refinance accounts for just 5% of our direct revenue and highlights how distressed that market continues to be with mortgage rates around 7%. In the agency business, revenue was $698 million, up 23% from last year. The reporting lag in agent revenues of approximately one quarter, these results reflect remittance related to Q3 economic activity. Information and other revenues were $238 million during the quarter, up 13% compared with last year due to growth in Canada, commercial, and the data and analytics business. Investment income was $155 million in the fourth quarter, up $23 million compared with the same quarter of last year, primarily due to the strategic portfolio rebalancing project we executed in the third quarter, which has helped us grow our investment income despite three Fed rate cuts. The provision for policy losses and other claims was $38 million in the fourth quarter or 3.0% of title premiums and escrow fees, unchanged from the prior year. The fourth quarter rate reflects an ultimate loss rate of 3.75% for the current policy year and a net decrease of $10 million in the loss reserve estimates for prior policy years. Adjusted pretax margin in the title segment was 11.8%, excluding both net realized losses and purchase-related amortization. Total revenue in our home warranty business totaled $103 million, up 4% compared with last year. The loss ratio in home warranty was 44%, unchanged relative to 2023. Adjusted pretax margin in the home warranty segment was 18.2% compared with 19.9% last year. Included in this quarter's results were $6 million related to a change in estimates of earned premium revenue, which negatively impacted both revenue and pretax income. The effective tax rate in the quarter of 27% was driven by a valuation reserve against deferred tax assets, partly offset by the recognition of research and development tax credits. This resulted in a reduction of $0.03 per diluted share when compared to the company's normalized tax rate of 24%. Our debt to capital ratio as of December 31 was 30.8%. Excluding secured financing payable, our debt to capital ratio was 23.9%. Now I would like to turn the call back over to the operator to take your questions.
Operator: Thank you. You may press star two if you would like to remove your question from the queue. Before pressing the star keys. Our first question is from Mark DeVries with Deutsche Bank. Please proceed.
Mark DeVries: Yeah. Thanks. Wanted to drill down on the results in the commercial business in the quarter. It sounds like you indicated across the board strength in both transaction volumes and size. Could you just talk more about what you've seen? Sounds like you didn't benefit from some really large multisite transactions, but trying to get a sense of the true breadth of the recovery here and also kind of, you know, what it implies for the go-forward growth rate on the business.
Kenneth DeGiorgio: Yeah. Thanks for the question, Mark. We did benefit from some large deals. There were, you know, four large deals of that are greater than a million dollars in premium, and that would be that compares to eight in the previous quarter or quarter over quarter. And, you know, we feel pretty good about the commercial business as a whole. I mean, the trends are great. I mean, in Q3, our revenue was up 19%. In Q4, as we mentioned earlier, it's up 47%, and in January so far, it's up 24%. So we've got some confidence that there's going to be strength overall strength in the commercial market and strength in our commercial business. Now keep in mind as I mentioned in my comments that when you go to the second half of the year, you're gonna be comparing it to the second half of a really strong 2024. Commercial revenue was up 33%. But you know, on the whole, at least, you know, what we're hearing in the surveys we're seeing, we feel pretty good about the commercial market.
Mark DeVries: Yeah. Thanks. And then on the second half of next year, do you still think you could grow off of this really strong base you've had in the second half of 2024? Or do you kind of view growth as decelerating quite materially? I'm just trying to get a sense of the cadence across the four quarters.
Kenneth DeGiorgio: Yeah. I mean, listen, we feel like we can grow, but there's so much uncertainty, you know, in the market between interest rates and the broader economy that it's hard to predict, but we feel like we can grow even off of even when compared to, again, our really strong second half of 2024.
Mark DeVries: Okay. Great. And just one last on this topic for me. Wanted to get a sense of what you think really caused this dramatic step up in the back half of the year. I know we've been talking about, you know, the market at some levels being kind of locked up as parties looked, you know, for real visibility on where transactions would clear. Have we kind of reached a tipping point now where buyers and sellers have found equilibrium and pent-up demand is really getting pulled through?
Kenneth DeGiorgio: Yeah. Well, I think there was a couple of factors going. I think, you know, for one, the Fed action was helpful. The election was behind us, so there was some more certainty about the election. There's a lot of debt maturities coming up or they, you know, parties had to either sell or refinance. And then, you know, to your point, I think price discovery is probably further along than it's ever been. So the market starting to settle or starting to settle a little bit, and that'll continue on, I think, into next year.
Mark DeVries: Great. Thanks for the comments.
Operator: Our next question is from Terry Ma with Barclays. Please proceed. Terry, please check and see if your line is muted.
Terry Ma: Yes. It was on mute. Thank you. Good morning. I just wanted to ask about kind of how to think about just title revenue growth expectations this year. It looks like, you know, in 2024, excluding net realized losses, you guys did about kind of 6%. But most of it, you know, came in the back half and particularly in the fourth quarter. And you did indicate where you believe we're in the early stages of a real estate cycle. I think Fannie and MBA are projecting anywhere from 8% to kind of 9% purchase volume growth for this year. So any way to help us kind of think about kind of what the revenue growth expectations for the title business are this year?
Mark Seaton: We break it out in markets, Terry. We feel like we're gonna have growth, you know, similar to where the MBA is standing. I mean, obviously, it's hard to say, but I think somewhere in that range makes sense. I think on the refi side, it's probably even harder to say. We're gonna have more growth in refis and purchase this year the way things are going, but it's off such a low base. It's probably not that material. And then, you know, Ken just kind of talked about the commercial business growth. So those are our three major markets. And the good news for us is we've got tailwinds in all three of them. So in terms of growth rates, it's still early. It's hard to say, but we feel confident that we're growing all those and all those three markets, which are the most important ones to us.
Terry Ma: Got it. That's helpful. And then I guess, you know, if those expectations play out, how should we kind of think about margin expectations? Should we be kind of modeling or thinking about kind of, like, the success ratio?
Mark Seaton: You know, I just think, Terry, you know, that keep in mind despite, you know, some very challenging markets over the last two years, you know, we've had a 10% margin. I think if we get these, you know, sort of modest tailwinds that we've been talking about and, you know, we get some improved income and we'll continue controlling costs that, you know, we should be able to improve margins at least commensurate with the market.
Terry Ma: Okay. Great. Thank you.
Operator: As a reminder, this Our next question is from Bose George with KBW. Please proceed.
Bose George: Hey, guys. Good morning. Actually, I just wanted to follow-up on the margin question. So I mean, I guess, with the restructuring, actually, can you quantify the benefit there on the margin? So yeah, all else equal, you know, what would that have pushed up the margin and then I assume the increases you talked about are kind of above that level.
Mark Seaton: Yeah. You're talking about the strategic portfolio rebalancing project we did?
Bose George: Yes.
Mark Seaton: So we did that in Q3, and we talked about how we would get $67 million of benefit because of that. And so we've gotten some benefit in Q3. We got the full run rate here in Q4. And so when we look in 2024, everything else be equal, we'll get about a $42 million investment income pickup and pretax income pickup because of the portfolio rebalance project. And that's compared to this year. So 2025, we'll have $42 million more of investment income than we did in 2024 because of the rebalancing project.
Bose George: Okay. And, I mean, if I back of the envelope, it seems like that would be 50-ish basis points for the margin. Does that seem right?
Mark Seaton: Yep.
Bose George: Okay. And so then and then just going back to Ken's comment about improvement in margin being commensurate with the market. So, like, so this year, you guys did 10.3% margin. You know, so we could add the 50 and then is it some improvement over that? Is that kind of the building blocks to the margin in 2025?
Kenneth DeGiorgio: Yeah. I think it's probably, you know, at least that. I mean, we could get some lift too from additional cost control and potentially additional improvements in investment income if we are able, for example, to capture additional deposits from other channels we're looking at. So it's at least commensurate with the market.
Bose George: Okay. Great. Actually, and then just one on investment income. You know, that number was up obviously quite a bit this quarter. Just, like, can you talk about the run rate for that number in 2025?
Mark Seaton: Yeah. Well, so when we were on this call, you know, in Q3, we really guided to, like, $140 to $145 million investment income in Q4. Because of the there was a lot of, you know, noise with the rebalancing project. We came in at $155 million. So we're $10 million higher than the high end of our forecast. So we really outperformed our own expectations in Q4 mainly because commercial was so strong. So commercial deals were stronger than what we expected. We hold escrow deposits in connection with these commercial deals. We can earn investment income in connection with these commercial deals. So that was all positive. So we look next year for the full year of next year, you know, we feel like we're gonna grow investment income. On the one hand, we've got the $42 million benefit that we just talked about from the portfolio rebalancing project. The negative though is we have had three rate cuts here in the fourth quarter. And who knows what the Fed's gonna do next year, but we at least have a $45 million headwind going into next year because of the Fed rate cuts. Right? So those two kind of wash out, but we still feel like we're gonna grow investment income because the market's gonna grow. Commercial's gonna grow. We feel like we can grow our warehouse lending business and shift some more strategic deposits to the bank. So we expect growth in investment income on a year-over-year basis. When you look at the quarters though, we expect our investment income to drop Q4 to Q1 just because of seasonality. We're just holding less escrow deposits, investment income's gonna fall in Q1, but that's just a there is a seasonal factor to it. But on a year-over-year basis, we expect growth.
Bose George: Okay. Great. Thank you.
Mark Seaton: Thanks, Bose.
Operator: Our next question is from John Campbell with Stephens Inc. Please proceed.
John Campbell: Hey, guys. Good morning. Congrats on a great quarter.
Mark Seaton: Morning, John. Good morning.
John Campbell: Hey. So you guys obviously put up, you know, really good title pretax margin expansion that you're lapping a, you know, pretty disruptive Q4 last year. But if I look at the prior year, so fourth quarter 2023, you guys, oddly enough, put up the exact same level of title revenue, you know, excluding gains and losses, you almost had the identical level of that higher margin partial rep too, but the main difference was obviously the investment income's about $23 million higher this year. I think some might look at that and say you guys should be putting higher margins, and I believe, you know, a portion of that higher investment income does get offset by higher title interest expense. So, Mark, I'm hoping maybe you could just clear that up through the mechanics there and then talk to the sensitivity of the bank-driven investment income to interest expense offset.
Mark Seaton: Yeah. Thanks for that, John. So first of all, in terms of the offset, so most of our investment income is driven by our investment portfolio and our escrow deposits. I mean, those are the two big drivers. There's other drivers including our warehouse lending business, which does have an offset to interest expense. There's also another driver where, you know, our bank pays, you know, a cost of funds too. But most of it's the biggest piece is driven by, you know, the portfolio and there is no offset on interest expense there. So you're right. Some of the growth we saw here in Q4 was because of our warehouse lending business, and there's a corresponding, you know, offset on the interest expense side. You know, in terms of our performance versus, you know, two years ago, 2023 was still a tough year. I mean, the market was still in decline. And we were still in the process of cutting expenses. So there just is a lag there. I think when we look today at our, you know, 51% success ratio, I mean, we're obviously coming out of the trough, and we're proud of, you know, how we've been managing our expenses here and we still feel like we can, you know, hit those success ratios going to next year.
John Campbell: Okay. Helpful. And then on the escrow, do you have an upside from commercial activity? Is there a rule of thumb? I know it probably is not exact here, but for every million or call it ten million, whatever it is for commercial revenue, how much of an upside that typically provides for investment income?
Mark Seaton: There's no rule of thumb here. I mean, we're typically getting, let's call it, Fed funds on our deposits. Commercial deposits. I mean, some of those deposits we get to keep for our benefit. Some of those deposits we don't get to keep because investors want to put it at third-party banks for different reasons. So there's really not a rule of thumb. I mean, the way we model internally is all of our escrow deposits. I mean, I think that, you know, getting Fed funds is that's the rule of thumb. But in terms of how it translates from, you know, commercial revenue to investment, I mean, it's tough. There's just a lot of different...
John Campbell: Yeah. I can appreciate that for sure. And one more here on the info and other line. Within title. Like, a bit better than we expected. I'm just hoping to get kind of a broad update there. I know ServiceMac, you know, you had some revenue headwinds there. I saw deferred revenue was actually up a decent amount in your last quarterly filing. So don't know if they're getting that business back on track or refilling the bucket, so to speak, maybe you could talk to that and then some of the other drivers within that line.
Mark Seaton: Yeah. The three big drivers are the biggest driver was our international business. And rates have come down in Canada and there's more refis. There's been, you know, there's a 175 basis point reduction rates in Canada, which has really driven refis. So that's the biggest driver there. Close to that though is there's a, well, I'll just call it US title. So there's a lot of business do we get that's not premium related? Right? That's just property reports and other, you know, services and products that we provide that aren't risk-based. That go into that line item. And so as we've seen growth in commercial and resale and refi, we're naturally gonna grow info and other because of our non-risk-based products. And then the third component that really drove it was growth in our data and analytics business, which we've been growing quite some time now. So those are the three big drivers in info and other.
John Campbell: Okay. And it's, I mean, it's not a huge part of the business, so it might not matter too much here. But any kind of clarity on the pretax margin kind of profile for that segment?
Mark Seaton: Or for that sub-segment? It's no. Because they're, I mean, if we had one, we'd share it. It's really just a collection of, I mean, we have we've got ten business units here, and every business unit has, you know, a slice of info in others. So it's really not a standalone business. It's just a, it's really, it really represents the non-risk-based revenue that we have in all of our business units. So we don't have there's not one margin for it.
John Campbell: Understood. Thanks, guys.
Mark Seaton: Thanks, John.
Operator: Our next question is from Mark Hughes with Truist Securities. Please proceed.
Mark Hughes: Yeah. Thank you. Good morning.
Mark Seaton: Morning, Mark. You've mentioned that a $6 million change in the estimates. Did that flow 100% to the pretax line?
Mark Hughes: It did. Yes. And it's really deferred, so it hit the fourth quarter, and we're gonna recapture it, you know, over 2025. But, yes, it did hit revenue and pretax.
Mark Hughes: Okay. Any comment on the office market? Sounds like commercial is firing on all cylinders. Does that include office?
Kenneth DeGiorgio: Yeah. I mean, office wasn't a big component of our commercial revenue last quarter. But it is coming off the sideline, particularly suburban office. But, you know, there is an increase, I think, in office activity.
Mark Hughes: Question on the home warranty. When I think about that business, you've seen good growth in direct-to-consumer. It looks like the time on market is going up. The inventory is going up, and maybe that motivates some sellers to throw in warranties as the sweeteners. What do you think about that idea? Any sign of that in your results?
Kenneth DeGiorgio: Yeah. You know, absolutely. I think as you get to a more buyer-driven purchase market, you'll see more activity in home warranty. In fact, you know, the real estate channel, you know, again, that's the sale in connection with the purchase of sale property was a driver of our performance in the fourth quarter for home warranty. So I think your theory on that is right. I mean, as you go into a buyer-driven market, you'll see some sprinkles added in with home warranty.
Mark Hughes: Great. Thank you very much.
Mark Seaton: Thanks, Mark.
Operator: There are no additional questions in the queue. That will conclude this morning's call. We would like to remind listeners that today's call will be available for replay on our company's website or by dialing 877-660-6853 or 201-612-7415. And enter the conference ID 1375141214. The company would like to thank you for your participation. This concludes today's conference call. You may now disconnect.